Operator: Please be advised that this call is being recorded. I will now like to turn the meeting over to Mr. Mark Chyc-Cies, Vice President Strategy, Planning and Investor Relations. Mr. Chy-Cies, please go ahead.
Mark Chyc-Cies: Thank you, Josh. Good morning, and thank you for joining us on this conference call to discussing our third quarter 2020 operational and financial results. On this call this morning from Gibson Energy are Steve Spaulding, President and Chief Executive Officer; and Sean Brown Chief Financial Officer. Listeners are reminded that today's call refers to non-GAAP measures and forward-looking information. Descriptions and qualifications as such measures and information are set out in our continuous disclosure documents available on SEDAR. Now I'd like to turn the call over to Steve.
Steve Spaulding: Thanks Mark. Good morning everyone and thank you for joining us today. The nearly nine months since the outbreak of COVID in North America. In this tough environment, we've continued to focus our strategy around our core terminals on high quality cash flows and maintain a strong balance sheet. The strategy has continued to position us well in this environment. Performance of our infrastructure segment has been particularly resilient. Third quarter segment profit of $93 million was a $3 million increase over the second quarter of this year. The segment profit over the first nine months of $28 million, we expect to be on the high end of our range for infrastructure. That's the target we set pre-COVID. In terms of what drives this resilience. There are several factors to point out. First, most of our tankage is operational storage and the tankage is a critical piece of infrastructure to ensure the reliable off-take of crude oil and allow our upstream customers to maximize the value of their production. Oil sands projects produce for decades as a result, we have a lot of comfort around the need of these assets and a strong line of sight of why our terminal assets keep getting re-contracted. Our services that we provide our customers, the ability to maximize their net backs of their crude oil production. That is why we've been so successful in building 7.5 million barrels of new tankage and hardest deal for the last four years. Our focused on the oil sands list a 60% of our total company cash flow being take or pay an 80% being stable fee base. That's a key reason why our earnings have been so stable this year. Our customers teams tend to think very long-term enabling 10, 15, even 20 year take or pay commitments. The last aspect of this resilience I wanted to cover is our ability to grow our infrastructure cash flows. This quarters infrastructure segment profit grew 14% over third quarter of last year. In the fourth quarter of this year, we expect to continue to increase our infrastructure segment profit, as additional assets are placed in service. The largest driver will be the 1.5 million barrels of new tankage replacement service at Hardisty before the end of the year. Also in the U.S., we've seen an increase in throughput volumes and revenue each month, despite the slowdown in drilling. We recently placed 250,000 barrel tanks in service at the link terminal which is now operational. We continue to advance connections to new producers in third-party gathering systems in the major egress pipelines out of link to the Gulf coast. The DRU continues to progress very nicely, and we are on budget and on schedule for a mid-2021 startup. We also expect to add to that growth and we will come out with our formal budget for 2021 in December. We expect that infrastructure growth capital in 2021 to be at least $200 million. We continue to expect to sanction two to four tanks per year. The likely on the low end, the tankage for this year has slipped into 2021 due to pauses in negotiations during COVID. If we see continued progress in TMX, we expect our customers will need to secure their corresponding tankage at Edmonton sometime later next year. We have room for about 2 million barrels that are Edmonton terminal, and we feel we're very well positioned to compete to build that tankage. At Hardisty continue to be in discussions for additional phases of the DRU. In the U.S., we'll be in that $25 million to $50 million capital spin range. To the extent we sanctioned third-party tanks will be on the upper end of that range. Returning to our strategy, our conservative approach of seeking to capture opportunities through our marketing organization, but not depending on it to maintain our financial position has served us very well. In the first half of the year, the significant volatility, and particularly the opportunities created by crude near zero and a steep contango led to outperformance in the marketing segment. Since then, the environment has been very challenging. Volatility has been limited and the crude’s been range ground around $40, U.S., since June. Differentials have tightened reducing margins at Moose Jaw, which has also decreased the demand for certain products, namely our drilling fluids.  Combined with the compression from low absolute prices, narrow differentials have also limited location and storage based opportunities. The features curve is flat preventing time-based positions. In that context, I believe that $23 million in segment profit from our marketing segment in a difficult environment is a very strong result. We have a very talented marketing organization, whether the market's been up or down, they've done a great job, but a sideways market is tough. And I have every confidence that if there's opportunities in the market, they will capitalize on it. But due to the tough marketing conditions, I believe the marketing segment could be close to breaking even in the fourth quarter that would put us in our $80 million to $120 million range for the full year.  Shifting gears. To another lens through which we manage our business. We've continued to advance our sustainability and ESG initiatives on several fronts. In August, we made our first submission to CDP. We believe arc carbon footprint is best in class in the Canadian midstream space, on both an emissions per dollar revenue basis and barrel throughput basis. Managing climate change risk is very important to us and we continue to explore additional opportunities to further reduce our impact and improve a resiliency as a company. Also in August, our board established a standalone sustainability and ESG committee is chaired by Judy Cotte, an expert on ESG and responsible investment. I would tell you that we have very much benefited from her expertise on our ESG journey thus far. We're also pleased to have Peggy Montana joined the board. She brings significant experience, particularly in safety and operations side of the business from her time at one of the super majors. With her addition, three of our nine directors are female. At the start of October, get some made a real commitment to cost, I personally feel very strong about, but the donation of $1 million in a five-year partnership with Trellis. We are very much making a difference in the mental health of youth and our community. This is the largest financial donation in Gibson’s history, and Gibson’s employees have also committed to dedicating at a significant number of volunteer hours. It's certainly a challenging environment for a company right now, but this is exactly the time that communities need our support the most. And I'm very pleased we can make this happen.  In summary, we're continuing to hear and execute on our strategy. Our business remains in a strong position with a bright future. The contribution from marketing in the fourth quarter, it's expected to be lower than our last few quarters. Yet we remain fully funded with both our payout and leverage below target levels. Our infrastructure business is very resilient and our existing cash flows providing a very strong base for decades to come. We continue to expect to grow that cash flow. We’ll deploy nearly $300 million this year and expected at least $200 million next year. And our balance sheet is very strong and we will remain conservative in our approach to our business. I will now pass it over to Sean who will walk us through our third quarter results in more detail. Sean?
Sean Brown: Thanks, Steve. As Steve mentioned, our infrastructure business remains strong in the third quarter. With respect to the different components driving the $93 million in infrastructure segment profit I would know. Our terminals were up slightly relative to the second quarter. This was from a roughly equal mix of higher terminating related revenues and operating costs being slightly lower. Recall roughly 85% of infrastructure segment profit would be from our terminals at Hardisty and Edmonton. Contribution from our Canadian small terminals in pipelines was in line with the second quarter and about 40% below pre-COVID levels. In the U.S., volumes continue to increase with September throughput on the Pyote system having increased by over 60% since January of this year. Moose Jaw contribution was up slightly. As we talked about last quarter, the turnaround was completed below expected costs. So the increase was fairly small this quarter. Marketing segment profit of $23 million was very much within our target range. And, as Steve mentioned, a good result in a challenging environment. Refined products had a fairly strong quarter supported by attractive road asphalt, roofing flux and top margins with volumes comparable to last year.  On the crude marketing side, opportunities were very limited with contribution mostly driven by time based positions brought into the quarter. In terms of our outlook for the fourth quarter, as Steve said, absent a change in the environment, it will be a fairly challenging quarter for marketing, as this sideways market doesn't present a lot of opportunities for the crude marketing business. In refined products, with the teething season largely complete, limited drilling expected for the balance of the year, and weakening margins on a roofing flux sales due to narrowing differentials putting downward pressure on our crude index that base term contracts, the fourth quarter will almost certainly be the weakest of the year. Given the crude marketing business specifically is very much an opportunity driven business. There certainly could be upside to our breakeven outlook for the segment. But as Steve said, we're not going to in any way change our risk tolerance to achieve that upside. For perspective, marketing segment profit through the first nine months of the year has been $103 million. So at worst, we are still going to be well within the long-term run rate for the year with the potential for that to improve if the environment changes or some opportunities arrive. In terms of developing our financial strategy, and the long-term expectations we message to the market. And recognizing we would find ourselves in a situation at some point, we're very deliberate in designing a framework that anticipated eventual volatility in the variable parts of our business. For that reason, in addition to our overall leverage target being conservative relative to peers, despite the cash flows from our infrastructure business, being amongst the highest quality, our financial governing principles include measures for maintaining infrastructure only leverage at or below four times, as well as not paying it more than 100% of our infrastructure only cash flows. As a result, by design, even with an expected moderation of contribution from our marketing business in the fourth quarter, we remain in a very strong financial position, including being fully funded for all our anticipated capital. Returning to the third quarter results, there is definitely some noise from unrealized gains and losses between this quarter and the second quarter. Recall that last quarter, we had $20 million in unrealized losses that we added back to segment profit as to increase adjusted EBITDA. Recall also that after time, we very much look through that increase in our discussion of the results, as we knew that it was temporal. And it was even out in time. This quarter, we had $11 million unrealized gain. G&A and the other items between segment profit and adjusted EBITDA were nearly identical in the last two quarters. So the difference between this quarter and the second quarter is about 250 to change in marketing segment profit and have a 350 the impact of financial instruments with infrastructure out slightly. Quickly working down to distribute cash flow on a sequential basis. Replacement capital of $3 million in the third quarter was $4 million lower than in the second quarter. With lower taxable income this quarter current tax expense decreased by $10 million, only $2 million. And interest and lease payments were also slightly lower than in the second quarter. This resulted in distribute cash flow this quarter being $7 million lower than the third quarter of last year, resulting in our payout ratio remaining relatively flat at 62% still well below our 70% to 80% target range. Similarly, our debt-to-adjusted EBITDA remained relatively flat at 2.7 times, which remains below our 3 times to 3.5 times target. Our bias continues to be towards maintaining a conservative financial position, including remaining fully funded for all our capital and maintaining access to significant liquidity. At the end of the quarter, we are only $95 million drawn on our $750 million credit facility, with about $45 million of cash in the balance sheet. Implying we have access to a net $700 billion through our credit facility, as well as to over $100 million in unutilized capacity on our $150 million bilateral demand facilities. Given our outlook for capital in 2020 for about $300 million, we will carry out some funding capacity into 2021, meaning we have clear line of sight to funding the 2021 capital program with cushion on top of that. During the quarter, we also took further steps to continue to move from a high yield to an investment grade capital structure. In July, we completed the refinancing of a 5.25% 2024 notes with two tranches bearing an average coupon of 2.65%. Cutting our annual interest costs on that $600 million almost in half while also extending the average maturity by two years. Through this refinancing, as well as one completed in September of last year, the weighted average coupon on our notes would be by far the lowest within our Canadian midsized peer group at just over 3%, while at the same time having a second longest weighted average center. In total, these steps have reduced our interest cost by over $20 million per year, meaningfully improving our conversion of EBITDA into distributable cash flow. At the end of August, we put in place an NCIB. I think that this very much speaks to the strength of our financial position. We're not only it's our capital fully funded, without the need for a drip or discrete equity issuance. But we are also one of the very few metering companies in North America and incredible position to return capital to shareholders via buyback over the next year. That said, we expect our use of the buyback to be fairly modest, if at all throughout the balance of the year. It is our intention to provide additional visibility on how we will utilize our NCIB as part of our 2021 capital outlook in December. Though, given our conservative bias, and stated policy of buybacks being a mechanism to return excess cash for marketing outperformance to shareholders, I suspect that are willingness to begin a meaningful share buyback will be somewhat limited until the outlook for marketing improves. In summary, the business had another good quarter. Our infrastructure segment had a very strong quarter and marketing was within our long-term run rate expectation. We don't count on marketing outperformance. Hence, we're very much remain on plan and in position to continue to execute our strategy. We remain well positioned with a resilient business. We have market leading quality of cash flows, a strong balance sheet, and are more than fully funded.  At this point, I will turn the call over to the operator to open it up for questions. 
Operator: [Operator Instructions] Our first question comes from Jeremy Tonet with JPMorgan. You may proceed with your question.
Jeremy Tonet: Just want to start off, there's been some M&A in the industry so far, notably Synovus and Husky and I think, there's been some debate in the marketplace and how this could impact Gibson? So just wondering if you might be able to comment on that a bit?
Steve Spaulding: As far as Synovus and Husky, when we look at our terminal, and I think I talked about it in my remarks. We think that we provide the greatest synergies and netbacks to any producer at Hardisty. So we're confident and any business that we have with those two companies will remain, and we’ll continue to improve their netbacks and optimize their crudes strings into the future. 
Jeremy Tonet: Could you, I guess, just refresh us on your weighted average contract duration for Hardisty, as it stands right now? 
Sean Brown: Yes, I mean, Jeremy, we just under 10 years, we don't really distinguish between Hardisty and Edmonton in general. But, if you think about it, sort of 9-ish years would be the weighted average across both terminal. Reflective of the package that we've put on even more recently and just the absolute longer duration of the contract that we're able to achieve. 
Jeremy Tonet: So it seems like nothing to change for a long time anyways regardless, so that's helpful thanks. And then separately kind of pivoting towards capital allocation here. You talked about it in the prepare remarks, but hoping for a bit more here and how you evaluate dividend increases versus buybacks versus increased CapEx in 2021 seem that you have this financial flexibility here? And really, how does leverage fit in? And do you worry that carrying such low leverage could lead Gibson to being a takeout target, kind of depressed equity levels? 
Sean Brown: Yes, why don't I take that, I mean, our capital allocation philosophy has been very consistent. We first introduced it at our January of 18, Investor Day. But first and foremost to the extent that we have capital growth opportunities that are very much in line with what we typically invest those things, five to seven build multiples long-term contracts with investment grade capital counterparties, that's going to be absolutely our capital allocation priority.  It is beyond that, we have access cash flow and that by definition for us is, outside of our target leverage ranges, then, really the capital allocation philosophy is dependent on where that excess capital is coming from. We talked about it a bit in our prepared remarks, but to the extent that that excess cash flow is coming from our infrastructure segment, then we would buy it dividend increases over time. We had our first dividend increase in 2016 last year, and so to the extent that excess cash has continued to come from that we would buy it, annual dividend increases. Of course, that is very much a board decision. And one that we only discuss annually on the back of our year end results in February, to the extent that net excess cash flow comes from our marketing business. And we buy share buyback. So really nothing has changed from a capital allocation philosophy. You also have to build leverage, perhaps I'll start on that answer and then you can finish it off by, we remain firmly committed to our leverage targets that we put out. Again, these have not changed since our January of 2018 Investor Day. So as a reminder for everybody listening that's 3 times to 3.5 times on a consolidated basis 4 times or less on a infrastructure only basis as we sit here right now, you're absolutely right 2.7 times, well below the consolidated target. The question about whether or not lower leverage makes us a target. I mean, at the end of the day, we're here for our ultimate shareholders. So we think having this conservative leverage profile is absolutely the right thing for the company and for all of our stakeholders. And so something like that is not something that we think is a real consideration as we think about what the appropriate targets might be. I don't know Steve if you want to comment on the second half of that just in around potential for data and or whether or not we're worried about our vulnerability.
Steve Spaulding: At the end of the day, probably the most, one of the most precious asset that we have here is our balance sheet. And that strong balance sheet has served us well. And we're going to continue to have our conservative view when it comes to balance sheet. 
Operator: Thank you. Our next question comes from Patrick Kinney with National Bank Financial. You may proceed with your question.
Patrick Kinney: Good morning. Let's start with marketing as well, and I appreciate the transparency into Q4, but, perhaps looking into 2021 based on what looks to be similar, modest contango environments, pipeline, egress going up and still relatively tight differentials. Would you say you have a bias to the lower end of that 80 to 120 annual guidance? Or are you seeing other factors again as we sit here today, supporting confidence and still being able to achieve or exceed the midpoint of the guidance range.
Steve Spaulding: The 80 to 120, we put that out there for a while now. And it's difficult to say where we'll land because next year is that full year. This year, we're going to be on the top half of that, 80 to 120 at the end of the year. But next year it's hard to say, right? I mean, all I know is that our -- we'll be poised to capture opportunities as they develop and excited about the recovery for crude for refined products sometime next year. And as that recovery starts, our margins across Moose Jaw will gain theme. And we think the differentials between WTI, WCS will become more normalized across the year, which continues to drive revenues at our Moose Jaw facility. As Sean want’s to answer the last one. 
Sean Brown: There's another piece on the adjusted EBITDA for the -- I mean, again, I mean, what he's talking about there is very much on an average very much on an as reported basis. And I guess just to summarize that, I'd say we very much, if somebody asked me where should we be next year? I stated 120. Absolutely. We've got confidence in that. Like we do always. This is a business where, we've got an extremely talented team that's able to find opportunities. So I would certainly wouldn't point to bias to being at the lower end as we sit here right now. The second part, I think maybe just to address it as Steve just talked about being at the higher end and we did have some noise this quarter and around there unrealized gains or losses that we see there. Suggest to address that, I mean, I said in my prepared remarks, but this is something we very much, we'd expect even out over the course of the year and we've largely seen it. So though we had an unrealized gain of $11 million this quarter, which, we done some notes people were calling it a realized marketing segment profit. We would highlight that we had a $20 million lot, we left through last quarter as well. So for us this absolutely normal course of the business and how we run it and would expect that it normalizes over the year, which it largely has as we sit here today.
Patrick Kinney: And then just zoning in on the export pipelines, again filling up at Hardisty. I am wondering if there is a Biden victory tonight and assuming he does follow through and take back the presidential permits for KXL, if you would expect an increase in the level of discussions where you're having around a second phase to the DRU say over the next few months? Or if third party demand isn't there right away. I mean, would you guys consider building a second phase for your own proprietary use and you'll increase your opportunities around locational arbitrage on the marketing side? 
Steve Spaulding: Yes. I would say, if there's a Biden victory, we’ve made some pretty strong statements about KXL and the KXL expansion and I would say that is more positive towards the DRU overall, we would love to see the KXL move forward. Because we see long-term over the next 10 years that we're going to build a lot of things to help support tech under the future. But in the short term, you're probably correct. That's going to drive more interest in the DRU, especially the U.S., refiners as those crash spreads start to return their demand for that Canadian crude continues to get stronger as the bins Wayland and the Mayan Mexico crew continue to apply. So a lot of the interests that we had pre-COVID was driven by those big U.S. refiners that wanted that meat bitchumen to maximize the refinery run. And we think as that normalizes back on refined products demand in the U.S., we're going to see that interest rematerialize next year. 
Patrick Kinney: And just to confirm not much of an appetite to build the second phase for your own marketing group. 
Steve Spaulding: No. I don't think we have even considered doing anything on spec like that.
Patrick Kinney: Okay. And just last one for me guys, if I could, on the ESG front, you've made quite a bit of progress here in just a few months. Can you maybe just walk us through some of your top priorities between now and say the end of next year, either on the disclosure front, setting new environmental targets. And then on the back of that maybe just, given the tough crowd out there for oil related investments in general. Just how are you guys thinking about shifting that narrative around your asset base being tied to the oil sands and instead being viewed as more of an ESP creative holding for investors?
Steve Spaulding: Great question. Versus under the disclosure front, we did submit our first CDP disclosure this year, and we should be getting our ratings back probably in early next year. And then our main admitted is Moose Jaw. So we continue to look for opportunities to reduce our carbon footprint in Moose Jaw. And we've come up with a couple of projects that have that fiber -- that have that thought better than five times payout and reduce our hydrocarbon footprint there. So we continue to look for opportunities to reduce that carbon footprint. But then if you look up the walls, the other mid streamers, we don't run the compression. And we don't have the big large pipe, mainline pump. So our phase one and phase two is extremely low on a revenue basis. And on a per barrel proof of basis. But I think it's very difficult, really anyone in North America to compete with us on a midstream basis in our sector. So just because of the kind of business that we have. As far as looking at other opportunities, we will look for other opportunities to extend into that sector. And that's part of our strategy. As we develop our strategy. That's one of the items in strategy that we will take a look at them. So we've made no decision on how to do that.
Operator: Thank you. Our next question comes from Robert Kwan with RBC Capital Markets. You may proceed with your question. 
Robert Kwan: Good morning. Just wondering whether it is comments as it relates to discussion to new infrastructure, your outlook for marketing to 2021? Is there anything you see in terms of the lifting of their curtailments? That could be helpful to you?
Steve Spaulding: Well, I mean, the lifting of the curtailment, I think was about 75,000 barrels a day. Also, we've had significant outage in the old brands. And as those come online along with the lifting of the production restrictions, we’ve see that's where I was saying WCS, WTI tightening across the year is that occurs. I mean, widening across the years that occurs which will help really our Moose Jaw facility in driving that margin from refined products sales, which is based really on a U.S. kind of Gulf Coast refined products pricing, and WCF or heavy crude pricing, and it's coming from Canada. So that's one of the reasons we're more positive. And then staying within that 80 to 120 next year. Robert?
Robert Kwan: If I can maybe just turn to capital allocation and you've talked about marketing performance be tied to the NCIB. Just wondering though, if you see Western Canadian infrastructure investments coming in below your expectations, you also put up 25 to 50 of the U.S. infrastructure. What's the bias then? Would it be to put more money above that 50 into the U.S.? Or would you then look to the NCIB for excess customers?
Sean Brown: Maybe I'll start that and Steve can backfill as necessary. I mean, we are not going to chase capital based on our financial position. So the visibility we have in the U.S. right now is the high quality projects that are in front of us. And we're going to remain very, very disciplined as we look to deploy that capital. And so we'll not cheat this because we view ourselves as having excess capital. I mean, if additional projects surface, as I said earlier on my capital allocation answer, if additional project surface that have the criteria that we typically are able to sanction, then absolutely deployed there. But we're not going to work to go above that, just because we have that excess capital and that's what we really like NCIB. It does allow us to remain disciplined to the extent that we have excess capital above the growth capital projects that we see with the characteristics that we typically invest in. And we'll either allocate that to the NCIB and/or dividend increase depending the source. But we're certainly going to remain disciplined as we think about allocating that growth capital, and are not going to look at chases.
Steve Spaulding: Look at that kind of that capital outlook next year. We do as a 25 to 50 in the state that we have the DRU spend. And then we have projects Edmonton that are advantage, that are pretty significant side that we continue to progress. And then we do believe that, we will sanction next year. And in that, we'll have some capital spend from that tankage with the majority of that tankage then probably really 2022.
Robert Kwan: If I just finish end with marketing and trying to deconstruct Q3, but as well as how that feeds into Q4 guidance? On the second quarter call though, I think, mentioned that you expected EBITDA to be fairly close to segment profit and then a couple things that can move it around with many commodity price movements, which didn't look like they occur during the quarter or if you just deferred analyzing positions. So you did end up with a very significant mark unrealized gains. So can you just kind of square up what you said in Q2? How that said into Q3? And why kind of Q4 then you can see that spillover?
Steve Spaulding: So the Robert when we action Q2, we have pretty significant inventory that was hedged. And a lot of those hedges were hedged into the fourth quarter. And so we just brought those hedges forward and into the third quarter. And that's exact change of our expectation as we just pulled those edges forward. We did say don't look at the adjusted EBITDA was at $19.6 million, which we knew that we had these hedges out there. Some of them actually extended into 2021 and we pulled all of those forward into this quarter. 
Robert Kwan: As we liquidated all the positions? 
Sean Brown: Yes, our expectation is because we pulled those forward that for Q4 segment profit and adjusted EBITDA will actually be very close. Again, it's essentially pulled those forward from Q4 into this quarter. So, you're absolutely correct to your question. And Steve clarified.
Robert Kwan: Okay. Do you anticipate going this forward when you had to call in Q2?
Sean Brown: No, we, it was a strategic decision we made during the quarter to do that. So on the Q2 call, you're absolutely right, we had indicated that we felt like segment profit and adjusted EBITDA would be very similar, which would imply that those would have stayed, through to Q4 even into 2021 as Steve noted and as we move through the quarter, for various reasons, we elected to move those forward into this quarter. So that was not our expectation at the time, and is a very insular messaging was last quarter. 
Robert Kwan: So you called those realized gains forwarding and crystallized in Q3. Doesn't that mean that the underlying Q3 was even worse than?
Steve Spaulding: Segment profit, segment profit of $23 million is really right where we're at. And the unrealized gain, if you look across the years, just like Sean says, the unrealized gains and losses versus segment profit is virtually a plus or minus $2 million, or $2 million or $3 million. And I think it's actually plus and that's because we carried in some gains from last year.
Operator: Our next question comes from Linda Ezergailis with TD Securities. You may proceed with your question. 
Linda Ezergailis: I have a question to follow-up on implications for Gibson on optun producers and integrated consolidating. You touched on that your existing operations should remain strong and contracted. But I'm just wondering what sort of emerging opportunities and challenges there might be not just as it relates to how larger consolidated producers might change their use of tanks and sanctioning of new tanks prospectively? But also, as it relates to opportunities that your marketing business might have with fewer producers and integrators potentially in the markets physically and I guess financially on the marketing side. And also, as it relates to over the long-term your U.S. strategy and the potential merits for DRU being higher or lower for certain consolidated producers?
Steve Spaulding: I would say, thank you for the question, Linda. As producers consolidate, I think, the demand that doesn't change the overall demand for tankage. They still need that number of days of storage, and they still need the same blending services that we provide. I don't see it actually changing. Hardisty is not overbuilt. And so we're that's one of the reasons we're really remained confidant on recontracting at Hardisty. And actually there is some opportunities we continue to expand there as we move forward. If you look in the states, the consolidation in the states really has really no new impact on us, as the small producers consolidate there. I'll turn it over to Sean and see if he has any opinion there. 
Sean Brown: Yes, I think consolidation, I mean, consolidation in general. I mean, it's good for the sector. I mean, it's going to cut cost for the sector and having strong customers is good for everybody certainly in Western Canada and across North America. So I mean, we would be a status of consolidation in general because they've cut costs into the sector and create stronger counterparties. And as Steve said, our Hardisty is not overbuilt. And even a, stronger counter party or the same amount of production they're going to need the same amount of package. So, in general we view the consolidation trend that we're seeing as being marginally positive for us, because it's going to create stronger counterparties for the company. 
Linda Ezergailis: And how might it affect your marketing operations over the long term? And just the opportunities that present themselves in the markets for your marketing segment? 
Sean Brown: Yes. I don't really see it, -- I haven't seen that that's going to impact our marketing business at all. You look at our marketing business is the main focus is the refined product business there in Moose Jaw. And then, there is marketing opportunities at Edmonton and at Hardesty around some tankage that we do have there. But I don't see the consolidation playing a big factor in that on a go forward basis. I have not heard that that is a concern at all coming out of our marketing organization. 
Linda Ezergailis: Thank you for that context. Just as a follow-up, with regards to your capital allocation decisions, as the industry is in flux some acquisitions, might come up opportunistically for Gibson, whether it be a tuck in acquisitions or larger ones. And for example, if producers own assets are still decided to shed, broadcast that your competitors, how does Gibson evaluate the opportunity in the merits of acquisitions versus other priorities? 
Steve Spaulding: Well I think I talked about that earlier. Probably one of our most precious asset is that balance sheet and preserving that balance sheet. So if there are opportunities that do develop the balance sheet is probably going to be our one of our number one drivers, in any kind of decision. So that's holding a cash flow and that length of term and the counterparty risk is all going to be very important to continue to assure that we have that balance sheet. And, we look more -- we continue to look like the type of investment that we are today. 
Operator: Thank you. Our next question comes from Rob Hope with Scotiabank. You may proceed with your question.
Rob Hope: Morning, everyone, just, one follow-up and clarification. Steve, in the prepared remarks, you made a comment about the lower end of the two to four tanks per year. Just a question there in terms of the timeframe you're looking at. Are you looking at 2020 there? Or is the expectations that there'll be no tanks in Q4? And that will be at the lower engine -- lower end of the range in 2021?
Steve Spaulding: I made that comment the two to four tanks. I think that really over a longer period of time, right? So really over the next four to five years is where when I made that comment, not because I said that really this year that and pushed into next year. And you really, these tanks to come along to, if you look at last year and the year before, they're pretty lumpy. So as far as when they're contractors. So really when I made that lower into two to four that's in a longer term contract, or really over the next four to five years.
Rob Hope: And then maybe just diving in that a little bit deeper. So that implies that I guess some expansion at Hardesty could be pushed into 2021. And then on top of that, you could get some TMX tanks towards the end of the year.
Steve Spaulding: Exactly.
Operator: Thank you. Our next question comes from Robert Catellier with CIBC Capital Markets. You proceed your question.
Robert Catellier: Most of my questions have been answered at this point, but I did want to thank you for the transparency in the marketing business in particular your statement about not wanting to change your risk tolerance to opportunities, a weak market. So I just want to make sure I understand the both in Q4 and the long-term guidance as it relates to earlier Gibson’s losses. So my understanding is that despite the unrealized gaining that was recorded in Q3 the expectation is that segment profit and EBITDA in Q4 will be very similar to that breakeven point you mentioned. 
Sean Brown: Yes, that's absolutely correct Rob.
Robert Catellier: And the same thing for the 80 to 121term obviously some quarters, you have these gains and losses is the overriding assumption there that the segment profit being very similar to the other time that the gains and losses fluctuate a bit, but those two numbers will be the same? 
Sean Brown: Yes, that's absolutely right. And that's really what we tried to get out in the prepared remarks that overtime that those are always going to be the same. So, I mean, just for example, if you look at last year through the quarter we had a gain or a loss in each individual quarter from the unrealized it says Q1 with a negative 3.4, Q2 positive 6.7, Q3 negative 12.2, Q4 positive 6,3 you saw over the course of the year, the net impact is like $2 million on a $197 million marketing segment profit. And so again, over time, our expectation and they have to they're going to be zero. So that's actually right 80 to 120. It seems over the course of the year that segment profit will equal adjusted EBIDA on an marketing date that we reported like that. 
Robert Catellier: Just my last question here you touched on the curtailment a bit, I'm just curious as to what you're seeing from a producer behavior, in terms of the volume on the one hand curtailments for looked it but it's 75,000 barrels, maybe not that impactful. And that's the same time we saw a pretty anemic prices. So did you get a sense on to the direction of production from the producers?
Steve Spaulding: No. I would just say, that'd be five coming on. I would say the conventional production in Canada still kind of down at 20% to 30% conventional heavy and conventional light combined. And the old fan project, there are still several out there that are struggling to come back onto full production. So as a oldfans project come into full production, and the thanks and restrictions are lifted, you're going to see the need for -- you're going to see inventory start to build again, and you're going to see the need for Grails. And we're already starting to see that at Hardisty with from May through August, we did not load a railcar out of . And we loaded a couple out in September, we're going to load a couple more out in October. But that seems to those nominations continue to grow as this production starts to come back online. So we saw record low inventories in Canada. And that was just as we had more egress capacity than we had a production for a couple months.
Operator: Thank you. Your next question comes from Andrew Cruz with Credit Suisse. You may proceed with your question. 
Andrew Cruz: Thank you. Good morning, probably first questions for Sean. And it just relates to what was a pretty noisy quarter in the upstream with things like the hilarious outage and just some other issues with the oil sands producers? If those things didn't happen, is there a way to get a sense of how your quarter would have looked better on the infrastructure side or the marketing side? Chipperfield for that? 
Sean Brown: Specifically again, it's a loaded question with respect to marketing, because what would it be impact. I think Steve talked about it, right now is a bit of a sideways for marketing, it is not very much volatility. Differentials are relatively narrow, flat price is low, so specific to Polaris, I don't see them making a huge difference. And on the infrastructure side, we actually made we had a pretty good quarter, and that business continues to trend. So I haven't put thought specifically to what would be the impact of cleric, hadn’t it come down. But I don't think it actually would have had an absolutely material impact, if you think about sort of the specific factors within the quarter. 
Andrew Cruz: Okay, thank you. And then, just as a second question, could you just give an update on your land bank position, both in Alberta, on the number of tanks that you think you can build over a longer period of time and then also at wings?
Sean Brown: Yes. As we talked about it often at Edmonton, we've got the ability to add roughly two or just slightly over 2 million barrels. So at Edmonton, we are stay constraints, at Hardisty we are not stay constraint. We've got directly sales of our terminal 240, continuous anchors connected to our terminal. Even after we finished the build out of the top of the hill, just think about being circuit 15 million barrels, we're confident that we could double that footprint directly contiguous to what we have. And even if that got built out, then we've got additional land near the industrial facility that we would never tie into. So from the Canadian perspective, Hardisty basically unlimited land, Edmonton, we are constrained but we're constraints in whichever one else there and you've been fairly open about that. You want to talk about our land position away.
Steve Spaulding: Yes, we have a 320 acres there a way we're really not limited in any at all -- in any facet at all. We can build over 12 millio barrels of storage that make it easy. And then you just building on what Sean said, we still have room to add 1.5 million barrels in the top of the hill. And what that means is that they, it's a very competitive, we always say five to seven. And so those, that means that most if not all the infrastructure is kind of built for that. And we can be very competitive. If any additional tankage need to be built there at Hardisty.
Andrew Cruz: Maybe just a final one, if I may. And it relates to Wink, just given the market dynamic we see in pockets in the U.S., and particularly not neck of the woods. Would you be better off buying versus building at the stages in time?
Sean Brown: Buying tankage at Wink? There is no real tankage at Wink. So we just kind of the launching point or the epic, the gray oak, the big pipeline owns the big axon pipeline. That's the launching point out of the Delaware basin, into the U.S. Gulf Coast. And so the tankage being built there. We're the only ones really offering any real commercial or storage to the customers there. And our strategy was to connect to those pipelines, and we're continuing to move forward, we're already flowing on one will be flowing on another one here in about a month and a half, and another one in the second quarter of next year. So with that, one of the things, one of our philosophy flows as those pipelines are going to be over built. And in them being over built, that shippers are going to want, there's going to be a draw a large stepping sound trying to get volumes onto those buyers. And we wanted to provide that tankage and connectivity to allow those producers to connect with those marketers. And that strategy continues to play out. And we think it'll be an effective strategy.
Andrew Cruz: I'm sorry, you can tell by Hardisty side effectively.
Sean Brown: Someone, and even in my prepared remarks. I said we're connecting to third party gathering. So we look to connected to third party gathers by the end of the year. And so with that, we're just trying to drive liquidity and volume through our terminal and provide that kind of Hardisty type of opportunity or it is the producer, who's trying to find net back for a shipper in new shipper on the pipeline at once supply to didn't need supply to fill their commitment on the pipeline.
Operator: And I would now like to turn -- I'm not seeing any further questions at this time. I would now like to turn the call back over to Mark for any further remarks.
Mark Chyc-Cies: Thanks, Josh. And thanks to everyone for joining us on this third quarter conference calls. Again, I'd like to note that we've made certain supplementary information available on our website gibsonenergy.com. If you have any further questions, please reach out to us at investorrelations at gibsonenergy.com. Hope everyone have a great day and thanks for joining us today.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating. You may now disconnect.